Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Gaotu Techedu Third Quarter 2024 Earnings Conference Call. All participants will be in a listen-only mode. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to your first speaker today, Ms. Catherine Chen, Head of Investor Relations. Please go ahead Catherine.
Catherine Chen: Thank you, operator. Good evening, everyone. Thank you for joining Gaotu's third quarter 2024 earnings conference call. My name is Catherine, and I'll help host the earnings call today. Gaotu's earnings release for the quarter was distributed earlier and is available on the company's IR website at ir.gaotu.cn, as well as through PR newswire services. Joining the call with me tonight from Gaotu senior management is Mr. Larry Chen, Gaotu's Founder, Chairman and Chief Executive Officer, and Ms. Shannon Shen, Gaotu's Chief Financial Officer. Larry will first provide the business highlights for the quarter, and then afterwards, Shannon will discuss our financial performance in more detail. Following their prepared remarks, we'll open the floor to questions from analysts. Before we begin, I'd like to remind you that this conference call will contain forward-looking statements made under the safe harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. These forward-looking statements are based upon management's current beliefs and expectations, as well as the current market and operating conditions, and they involve known or unknown risks, uncertainties and other factors, all of which are difficult to predict and many of which are beyond the company's control and may cause the company's actual results, performance or achievements to differ materially from those contained in any forward-looking statements. Further information regarding this and other risks is included in the company's public filings with the U.S. SEC. The company does not undertake any obligation to update any forward-looking statements, except as required under applicable law. During today's call, management will also discuss certain non-GAAP measures for comparison purpose only. For a definition of non-GAAP financial measures and reconciliation of GAAP to non-GAAP financial results, please refer to our third quarter earnings release published earlier today. As a reminder, this conference is being recorded. In addition, a live and archived webcast of this conference call will be available on Gaotu's IR website. It is now my pleasure to introduce our Founder, Chairman and Chief Executive Officer, Larry. Larry, please.
Larry Chen: Good evening and good morning, everyone. Thank you for joining us on Gaotu's third quarter fiscal year 2024 earnings conference call. I would like to take this opportunity to express my gratitude to each of you for your interest and support of Gaotu. Before I start, I would like to remind everyone that all financial figures discussed today are quoted RMB unless stated otherwise. During the past quarter, our core businesses continued to make steady progress with the gross balance increasing by 67.2% over the year to approximately RMB 1.1 billion, and revenue growing by 53.1% year-over-year to over RMB1.2 billion. This growth is attributed to our keen understanding of market trends and the continuous optimization of our strategy and execution. As our business scales rapidly and the product matrix enriches gradually, we ramped up investments with a particular focus on upgrading our educational systems, enhancing organizational capabilities and improving management practices. We also intensified efforts in talent development and professional training. In the course of business development and refinement, we have nurtured and promoted high performing frontline and managerial talent from within, while also attracting seasoned professionals from the broader industry. This has enhanced our team's ability to navigate various complex business environments and improve execution efficiency. In this quarter, we allocated more than 120 million for share buybacks, underscoring our strong commitment to shareholder returns. While this share repurchase has impacted our cash balance, our liquidity position remains solid and robust. As of September 30, 2024, we held a total of over $3.3 billion in cash, cash equivalents, restricted cash, and short-term and long-term investments, providing a firm foundation for our strategic priorities and long-term growth. Next, I will provide an update on the program we have achieved this quarter. First, we further enhanced our educational products, learning services, and the teaching quality by seamlessly integrating the expertise of our top tier instructors, outstanding tutors, and the content development team with advanced technology. Our ultimate goal has always been to deliver an exceptional learning experience that leads to tangible learning outcomes for our users. For our instructors, we strive to achieve the best teaching practices through systematic course refinement and training by our content development team, ensuring the complex knowledge is presented to students in a clear, engaging, and accurate way. At the same time, emerging technologies such as AI are empowering our tutors with deep insight into each student's individual needs, enabling them to provide a comprehensive and efficient assessment, tailor their learning plans, and the target of support to boost user engagement and learning efficiency. This quarter, the referral rate of our educational services for college students achieved a significant breakthrough serving as a strong endorsement of the value we provided and highlighting the growing recognition of our brand. Furthermore, we have established a multi-tiered educational support and content system designed to meet the diverse needs of students at different stages of their learning journey. Meanwhile, our Dream Coach program has been rolled out at scale where outstanding alumni from Tsinghua and Peking Universities are invited to share their learning experiences, provide career guidance and offer both emotional support and the practical advice to current students, further enhancing student engagement. Second, we actively embrace the market changes and proactively advanced our customer acquisition capabilities. It's by the evolving market landscape and the macro environment, our efficiency in customer acquisitions through live streaming and other channels remains industry leading. This has driven significant growth in gross billings and steadily increased our market share. Since 2023, we have consistently focused on expanding and diversifying our customer acquisition channels, building a comprehensive and resilient acquisition system that encompasses self-operated channels, private traffic activation and the current driven strategies. This decentralized approach can effectively reduce exposure to external volatility and mitigate market risks. Going forward, we will further increase investment into proprietary channels and private traffic engagement and conversion efforts, maintaining a strong emphasis on their efficiency and effectiveness. Our goal is to build a more robust and sustainable traffic acquisition system that supports our steady growth in the long run. Third, we remain committed to social responsibility and creating long-term value with dedication. This quarter, we continued to promote education equity by awarding underprivileged first-year college students in Xin'an County, Hainan Province, with scholarships to pursue their dreams and advance their educational journeys. Additionally, we supported regional education by building libraries and donating substantial collection of books to schools in Gansu province, providing local students with enhanced educational resources and a better reading environment in alignment with our mission to generate value for all stakeholders. We have also made progress in delivering shareholder returns. From the start of the year through December 3rd, we repurchased an aggregate of more than 6.5 million ADS for approximately $25.1 million representing approximately 2.6% of total outstanding shares as of the end of 2023. This brings the cumulative value of shares repurchased under the program to approximately $37.5 million. Looking ahead, we will continue to uphold our social responsibilities while prioritizing shareholder value. By creating business values and contributing to societal progress, we aim to drive sustainable and high quality long-term growth for our company. Thank you very much everyone. This is the end of my prepared remarks. Now, I will pass the call over to our CFO Shannon to walk you through the financial and operational details of the quarter.
Shannon Shen: Thank you, Larry. And thank you, everyone, for joining our call today. I will now walk you through our operating and financial performance for the third quarter of fiscal year 2024. In the past quarter, we capitalized on the robust market demand during the summer vacation period, successfully achieving our growth-filling targets aimed at rapid business growth and driving meaningful increases in student enrollments and market share. With a continuous rise in student enrollments, growth in our top line has accelerated sequentially in each of the past three quarters. In the third quarter, our revenue increased 53.1% year-over-year and grew by approximately 10 percentage points sequentially. As of September 30, 2024, our deferred revenue balance increased 89.0% year-over-year to over RMB1.4 billion. Looking ahead, we anticipate year-on-year revenue growth to peak in the fourth quarter with our core online businesses set to outpace the broader industry, further consolidating our leading position in the market and laying a strong foundation for future growth. While continuing to strengthen the core competence of our online products, we are actively deploying resources to explore and expand into diverse educational offerings. This approach helps us better address students' learning needs across various scenarios, expanding our addressable market and enhancing user engagement. We are focusing on segments with clear user demand, strong willingness to pay, and proven business models. Additionally, we are utilizing advanced technologies like artificial intelligence to continuously optimize both teaching quality and operational efficiency. Although these investments may weigh on our financial results in the short term, we remain committed to refining our operations and dynamically tracking key business metrics to effectively balance investments and returns. We believe these educational offerings with great growth potential will further boost our market share and brand recognition, supporting long-term revenue expansion and value creation for our users. Next, I will walk you through the progress we have made during the quarter. Learning services contribute 95% of net revenues. Breaking it down, more than 75% of total revenues came from non-academic children's services and other traditional learning services, representing an increase of 70% year-over-year. Our new initiatives centered around non-academic tutoring services experienced remarkable growth in this quarter. In product development, we consistently refine our knowledge graphs and curriculum and conduct in-depth analysis of students' needs at different stages of their development. This approach ensures that our courses are scientifically grounded and systematically structured to provide students with course arrangements that better align with their learning path. On the delivery front, we have developed a standardized, scalable talent development system through careful screening, rigorous training, and ongoing performance evaluation. As a result of these efforts, net revenues and gross billings from our new initiatives surged by more than triple digits year-over-year. Notably, gross billings from new student enrollments soared by over 200% compared to the same period last year. Our traditional learning services maintained steady growth. During the quarter, we further optimized our student composition by refining operations for key entry grades, strengthening the foundation for sustainable future development. While leveraging the influence of our top tier instructors, we have also enhanced the professional expertise and service quality of our tutors. Building on the improvement of teaching quality, we have placed greater emphasis on addressing user needs by offering comprehensive solutions in [compacting] (ph) study plan and family education guidance to foster students' holistic development. As a result, gross billings of this segment grew by more than 40% year-over-year in the quarter, underscoring the high regard and the trust students have for the value we have provided. The other crucial component of our learning services is educational services for college students and adults, which contributed under 20% of total revenues in the quarter. We optimized our business mix and the resource allocation to focus on areas with strong market demand and clear path to profitability. During the quarter, co-offerings in this segment maintained healthy growth momentum. Educational services for college students achieved high double digits year-over-year revenue growth, along with quarterly profit and positive cash flow. Similarly, overseas study-related services achieved high double-digit year-over-year revenue increase and generated positive cash flow for the quarter, further demonstrating the success of our product optimization and business adjustment efforts. I will now present our financials in more detail. Our cost of revenue this quarter was RMB429.8 million. Gross profit increased 36.3% year-over-year to RMB778.5 million, with a gross margin of 64.4%. Total operating expenses during the quarter increased 89.1% year-over-year to approximately RMB1.3 billion. From a seasonal perspective, the fourth quarter is typically not a peak period for new customer acquisition in our traditional and academic businesses. As such, we plan to adjust our selling expenses accordingly. Breaking it down, selling expenses this quarter increased 103.9% year-over-year to RMB885.8 million, accounting for 73.3% of net revenues. This was primarily driven by higher marketing expenses in response to heightened market demand during the summer vacation period. Research and development expenses increased 44.9% year-over-year to RMB189.3 million, accounting for 15.7% of net revenue. General and administrative expenses increased 82.9% year-over-year to $193.5 million, accounting for 16.0% of net revenue. Loss from operations was RMB490.1 million. And operating margin was negative 40.6%. Non-GAAP loss from operations was RMB476 million, and non-GAAP operating margin was negative 39.4%. Net loss was RMB471.3 million, and net income margin was negative 39.0%. Non-GAAP net loss was RMB457.2 million, and non-GAAP income margin was negative 37.8%. Our net operating cash outflow was RMB714.4 million. Now turning to our balance sheet. As of September 30, 2024, we held RMB862.7 million in cash, cash equivalents and restricted cash along with RMB1.5 billion in short-term investments and RMB964.4 million in long-term investment. This comes to a total of over RMB3.3 billion. As of September 30th, 2024, our default revenue balance was over RMB1.4 billion, primarily consisting of tuition received in advance. As of December 3, 2024, we repurchased an aggregate of approximately 11. 5 million ADS on the open market for approximately over $37.5 million under the existing share repurchase program. We will continue to execute share buybacks in accordance with the Board of Director's guidance to create long-term value for our shareholders. Before I provide our business outlook for the next quarter, I would like to remind everyone that this contains forward-looking statements that involve risks and uncertainties beyond our control, which may cause the actual results to differ materially from our expectations. Based on our current estimates, we expect total net revenues for the fourth quarter of 2024 to be between RMB1,288 million and RMB1,308 million, representing an increase of 69.2% to 71.9% on a year-over-year basis. This concludes my prepared remarks. Operator, we are now ready for the Q&A section. Thank you, everyone, for listening.
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question today comes from Crystal Li with CMS. Please go ahead.
Crystal Li: Thanks management for taking my questions. I saw you provided the growth guidance for growth revenue in the third quarter. How about the growth by different business segments? And could you give us some color on 2025 growth outlook?
Shannon Shen: Thanks, Crystal. From the current perspective, looking at the overall operational performance in 2024, we observed two primary deviations from the expectations we set at the beginning of this year. First, the adjustments in the psychological consulting segment within the educational services for college students and adults impacted by the certification requirements which led to a revenue shortfall compared to the projections we performed at the beginning of the year. And second, some of our innovative efforts in traditional education services did not fully exceed our expectations. And also in the second half of the year, we are navigating a period of subdued economic growth accompanied by a more cautious consumer spending environment, together with the [indiscernible] social platforms further handed the recovery of the gap. And also our loss in 2024 has widened. On one hand, our increased investments in the offline operations and overseas study services while creating short-term pressure, actually strategic decisions aimed at long-term growth. We believe these efforts will eventually generate better returns for our students and shareholders and create the value we provided. And on the other hand, our handling of explosive business opportunities in the first half of the year, [indiscernible] in resource allocation during the period of rapid growth, which also contributed to the current loss as well. So looking ahead to 2025, we will take a more dynamic approach to balancing, scaling investment and the profitability. Our focus will be on expanding the profit base and improving our operating profit margins in our existing business. Also, at the same time, we will be optimizing fixed cost structures such as research and development expenses and also G&A expenses. And we will be continuously driving cost reductions and the efficiency improvements. So we expect both gross billings and the revenues to achieve steady growth in 2025 with a significant reduction in losses. And during this period, we will also strive to enhance shareholder value and continue to execute the share repurchase plan under the guidance of our Board of Directors. And hope that address your questions. Thanks, Crystal.
Operator: Thanks a lot. This concludes our question-and-answer session. I would like to turn the conference back over to Catherine Chen for any closing remarks.
Catherine Chen: Thank you, operator, and thank you everyone for joining the call today. If you have any further questions, please don't hesitate to contact our Investor Relations Department, or our management via email at ir@gaotu.cn directly. You are also welcome to subscribe to our news alert on the company's IR website. Thank you very much again for your time. Have a great night.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.